Operator: Good afternoon. My name is Angel and I will be your conference operator today. At this time, I would like to welcome everyone to the Tessera Technologies’ Third Quarter 2014 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. John Markley, Investor Relations, you may begin your conference.
John Markley: Thank you, Angel. Good afternoon and welcome to Tessera Technologies’ third quarter 2014 financial results conference call. This call is also being webcast live over the Internet. Please be advised that during the course of today’s call, management will make forward-looking statements regarding future events, including the future financial performance of the company. These forward-looking statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve risks and uncertainties that could cause actual results to differ materially from those projected. You are cautioned not to place undue reliance on forward-looking statements which speak only to the date of today’s call, October 30, 2014. More information about factors that may cause results to differ from the projections made in those forward-looking statements can be found in Tessera’s filings with the Securities and Exchange Commission including its Annual Report on Form 10-K for the year ended December 31, 2013 and Form 10-Q for the quarter ended June 30, 2014, especially in the sections titled Risk Factors. The company disclaims any obligation to publicly update or revise any forward-looking statements to reflect events or circumstances that occur after today’s date. Management may also discuss certain non-GAAP financial measures for comparison purposes only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial metrics, please see the third quarter financial results new release issued earlier today. Now, I would like to introduce Tessera’s Chief Executive Officer, Tom Lacey. Tom?
Tom Lacey: John thanks a lot. Whether live or via the webcast recording, thank you for joining us on the call today. Robert and I are very pleased to provide an update on our Q3 results and our Q4 revenue and expense forecast. Before getting into the business, first of all, I take a little personal detour here. I am a lifelong San Francisco Giants fan and I am just thrilled about the Giants winning it another world series. I had to get that in, Robert.
Robert Andersen: That’s fair.
Tom Lacey: Okay, alright. Alright, back to Tessera. As you will hear from us, we remain extremely positive on the developments of the company and remain optimistic about our future. Before I get into the details, the high level message I hope you take away from the call is that our turnaround is well on its way. The company has been transformed and we are producing tangible results, delivering on our commitment and growing responsibly. We remain well-positioned to move forward profitably. There were several important developments during the quarter, including we exceeded expectations on virtually all financial metrics and delivered our third consecutive profitable quarter on both the GAAP and non-GAAP basis. This was our third highest revenue quarter of all time and the second highest operating income percentage of all time. Additionally, with our Q3 results, our year-to-date revenue already exceeds our 2013 revenue. So, for the first time since 2009, we are very proud to announce that we have produced a growth year from our continuing operations. Our world-class imaging group, FotoNation continued to perform very well in terms of customer engagement and product development with substantive progress on both fronts. We continue to lower non-litigation operating expenses and we reduced our litigation expense to less than $6 million in Q3, which is the lowest amount since the first quarter of 2012. We continue to execute on our capital allocation strategy, which employs a combination of dividends and share buybacks to return cash to shareholders. Today, the Board authorized a $0.10 per share quarterly dividend. Additionally, we have continued our share buyback program again resulting in a lower share count for the third consecutive quarter and the third time in our company’s history. During the quarter, we bought back approximately 162,000 shares for $4.6 million. During the last five quarters, we have purchased more than $78 million of Tessera’s stock. Additionally, we are very pleased to announce today that our Board of Directors also authorized us increasing our share buyback authorization by $100 million. Innovation continues to be alive and well at Tessera. In addition to the progress of FotoNation where we are engaged with the industry leaders from phone OEM to semiconductor providers and we kicked off our joint xFD product engagement with Micron during the quarter. We are working on additional xFD partnerships. Similarly, on BVA we are engaged with a number of companies on technical collaboration. We expect to make announcements in the future quarters as products achieve volume shipment. And finally, in New York in September we held our first Analyst/Investor Day in more than five years. The feedback on the presentation and company position was positive. We believe our investor outreach along with the progress of our business has helped drive our 90-day average daily trading volume of 27% over a year ago, thereby increasing our stock’s liquidity. All these accomplishments continue to position the company well as we move forward. Now some details of the primary developments during the quarter. First of all, it is clear that our partnership approach with our customers striding for technical collaboration in using litigation as a tool when necessary rather than as a strategy continues to bear fruit. This management team has demonstrated an ability to reach fair value for fair value agreements, including technical collaboration with multiple customers. This continues to be an important focus whereby we worked collaboratively with our customers on our advanced packaging technologies including xFD, BVA, and 3DIC, as well as our FotoNation imaging technologies. Our partnership approach is beneficial to both the company and our customers as it frees up management and employee time, money and resources for future investment in development that might otherwise have been diverted to litigation. As previously announced during the quarter and worth another mention is the fact we have reached an agreement with Micron on a multi-year patent license and technical collaboration agreement where we agreed to work together to advance our xFD and other technologies. Following this agreement we were able to relicense all three major DRAM manufacturers to our technology, all done without litigation, something we were unable to do in the past. Turning now to our FotoNation business, we remain excited about the growth opportunities that we are pursuing for this set of advanced technologies. Many of these features are must-haves in the highly competitive market for mobile devices and our technology is world-class as reflected in the fact that our imaging technologies are standard on the majority of high-end smartphones. FotoNation technology is on more than $122 billion – 1.2 billion digital still cameras, 625 million smartphones and 100 million tablets. Since our last conference call we have had several very productive meetings with China based cell phone OEMs regarding our new, fast focus and multi-focus technologies. Additionally, we have made solid progress on our longer-term initiatives focused on automotive, surveillance and authentication opportunities. It is worth noting the degree to which imaging capabilities including hardware face detection is highlighted by leading smartphone OEMs as a key end user differentiating feature. We continue to believe we are very well positioned in this important technology with world-class products, roadmaps, people and patents. Next I would like to provide an update on our litigation activities as we have demonstrated consistently over the past year we are laser focused on our overall litigation spend and when it’s necessary for us to litigate we work to obtain excellent return on any litigation expenditures and reach fair value for fair value settlements when possible. First of all during the previous quarter in the AMD consolidated cases that started nearly a decade ago we settled with ST Micro. ST Micro was one of the ten defendants in the case. We have now settled all – somewhat with all defendants in the case and we are thrilled to have this matter behind us. Regarding our settlement with ASC we modified the payment terms such that they will pay us $27 million in January 2015 versus paying over a 4-year period. Additionally, we have agreed to enter into discussions regarding technical collaborations on our BVA technology. We are pleased to have this matter settled and have such a high caliber technology partner to work with on our BVA technology. Despite very favorable rulings during the quarter, our primary litigation effort unfortunately remains Amkor. During the quarter, what we view as two substantial matters, were decided in our favor. Recall that in Q2 2014 a tribunal of the International Court of Arbitration of the International Chamber of Commerce issued a damages award in Tessera’s favor of $113 million excluding interest. In October despite protest by Amkor the California Superior Court confirmed the tribunal’s award and entered judgment in Tessera’s favor, including the interest accrued to the date of the judgment, the calculated amount of the judgment was approximately $128.3 million. Post-judgment interest continues to accrue at approximately $31,000 a day. Recently, Amkor has posted $192 million appeals bond to secure the award. This bond provides us with security on the judgment including interest, while Amkor seeks an appeal. The day after the superior court entered judgment, the U.S. patent and trademark office rejected Amkor’s challenge to the validity of one of our patents involved in the arbitration and in our patent infringement case against Amkor in Delaware. Amkor has appealed the patent offices’ decision, but we believe that the patent office and superior court decisions greatly diminish one of Amkor’s potential challenges to the tribunal’s award and strengthens our position in our patent infringement case against Amkor in Delaware. Consistent with our agreement, Tessera has followed and continues to follow the tribunal’s rulings. We had hoped that Amkor will do the same, especially given the California’s superior court confirmation of the tribunal’s award and the patent offices rejection of the Amkor’s challenge to the validity one of our patents. But Amkor’s actions indicate that it plans to continue delaying any payment or the award and does not intend to honor its promise to us that the dispute resolution process would be final. We remain confident and Amkor’s continued challenges to the tribunal’s award will ultimately be rejected. As we have demonstrated with a number of other customers, we remain interested in discussing possible technical collaboration with Amkor and ending the lengthy in what we view as needless delays and following through on their commitments. I will now turn over the call to Robert, with whom I celebrated the Giants win, but I’m certain we will address our excellent Q3 results and Q4 guidance.
Robert Andersen: Thank you, Tom. This is another strong quarter for the company, highlighted by solid revenue from both recurring and episodic sources. As the company's financial officer, I’m very pleased with the expense management for the quarter and with the corporation’s resulting profitability. We've also made progress this quarter and strengthening the organization’s capabilities to execute on its growth initiatives. With that, let me cover the results from the third quarter of 2014. Total revenue from continuing operations was $93.3 million. Compared to the third quarter of 2013, revenue increased by $56.1 million or 150%, due to the $46 million of episodic payments during the quarter and recurring revenue increasing by $19.6 million, due primarily to our successful licensing efforts over the past several quarters. Total GAAP operating expenses from continuing operations for the third quarter were $31.3 million, a reduction of $6.9 million from the third quarter of 2013, due primarily to a significant reduction of litigation expense. Importantly, our R&D expenses increased by $1.9 million as we moved additional investment into the growth-oriented and high return projects. Compared to the second quarter of 2014, operating expenses decreased by $4.9 million, again primarily due to reduced spending on litigation matters, as cases have reached completion. As we managed expenses going forward, we will continue to look for ways to do things better and more efficiently. The GAAP tax provision for the continuing operations resulted in a net tax benefit of $40.4 million. During the third quarter, we reversed substantially all of the valuation allowance previously recorded for U.S. Federal deferred tax assets, resulting in the substantial tax benefit. Based on our recent financial performance and outlook for future periods, we now conclude it is more likely than not that we will utilize and realize the majority of our U.S. Federal deferred tax assets, therefore valuation allowance is no longer required on these assets. Our non-GAAP results, which I’ll describe more fully in a few moments, reflect our financial statements with a normalized tax rate that excludes the benefit from reversing the valuation allowance. GAAP income from continuing operations for the third quarter was $102.7 million or $1.93 per share on a fully diluted basis. Turning to discontinued operations, for the third quarter of 2014, discontinued operations generated a GAAP gain of $6 million or $0.11 per share on a diluted basis again as a result of the tax benefit recorded in discontinued operations of $7.6 million related to the valuation allowance reversal previously described. The loss from discontinued operations in the third quarter of 2013 was $36.8 million, which included activities in our DigitalOptics segment that has been discontinued. We expect most of the discontinued operations to be wound down by the end of this year. I will now cover non-GAAP results, total non-GAAP operating expenses from continuing operations in the third quarter of 2014 were $23.5 million, including $0.1 million cost of revenue, $8.3 million for R&D, $9.3 million SG&A and $5.8 million litigation expense. The adjustment for the non-GAAP items in the third quarter of 2014 totaled $63.4 million pardon me that’s the tax adjustment for non-GAAP items reflecting the valuation allowance previously – reversal previously described. This equates to a non-GAAP tax rate from continuing operations of 33%, which is in line with our longer-term business model. Non-GAAP net income from continuing operations for the third quarter of 2014 was $47.1 million or $0.87 per diluted common share. Non-GAAP results exclude discontinued operations, restructuring and other exit costs, stock-based compensation, charges for acquired in-process research and development, acquired intangibles amortization, impairment charges on long-lived assets and goodwill and related tax effects including the impact of the valuation allowance reversal. We have included a detailed reconciliation between our GAAP and non-GAAP net income in both our earnings release and on our website for your reference. With regard to the balance sheet, we finished the third quarter of 2014 with $398.7 million in cash, cash equivalents and investments, an increase of $69.5 million from the prior quarter due primarily to the significant profit generated in the third quarter offset by $5.2 million of dividend payments and the repurchase of 4.6 million of the company’s stock during the third quarter. As Tom noted during his comments during the third quarter we repurchased 162,000 shares of common stock pursuant to our stock repurchase program for an aggregate amount of $4.6 million at an average purchase price of $28.49. Our Board had previously authorized a total of $150 million under the company’s share repurchase plan of which $60.8 million remains at the end of the quarter for future purchases. With the recent authorization from our Board of Directors for an additional $100 million to the program now approximately $160 million available under the stock repurchase program. On dividends, effective on October 30, which is today the Board of Directors approved a regular quarterly dividend of $0.10 per share of common stock, payable on December 17, 2014 to shareholders of record on November 26, 2014. The company has previously communicated a capital allocation practice for episodic revenue that includes payment of an annual dividend based on the level of episodic revenue for the trailing 12 months. We are currently evaluating a change in this practice by allocating any amounts that may have otherwise been used to pay the episodic dividend over to share repurchases instead. We will provide further updates on any changes during future calls our capital allocation policy is always reflective what we believe to be in the best interest of the company and our shareholders. In terms of guidance the company expects total revenue for 2014 fourth quarter to be between $50 million and $54 million, operating expenses are expected to be between $31 million and $33 million. The company expects approximately $4.7 million of amortization of intangible assets and $3.2 million of stock-based compensation expense. The company also expects a loss from discontinued operations of approximately $800,000. With that, I will turn the call back to Tom.
Tom Lacey: Robert, thank you very much. Angel that’s it for our prepared remarks, can you please open it up for questions.
Operator: Certainly. (Operator Instructions) Your first question comes from the line of Krish Shankar (Bank of America). Your line is open.
Krish Shankar - Bank of America: Thanks for taking my question and congrats and Tom and Robert on the good execution.
Tom Lacey: Thanks, Krish.
Robert Andersen: Thank you, Krish.
Krish Shankar - Bank of America: I had few questions. First and foremost, I didn’t see any guidance for litigation costs for Q4, should we expect it to be down sequentially?
Robert Andersen: We don’t guide specifically to litigation expense. But I think you can view the litigation expense quarter-over-quarter to be relatively flat.
Krish Shankar - Bank of America: To be flat. Okay, got it, alright. And then, I mean, this is the question I always tend to ask, I didn’t know how you want to answer it, the guidance for the top line $50 million to $54 million, how does that split between recurring and episodic?
Robert Andersen: Yes. You do usually ask that and I usually don’t answer it. So, we don’t guide specifically between those two, Krish. Sorry, I can’t give you the breakout.
Krish Shankar - Bank of America: That’s fine. Let me ask it another way then, in the last earnings call, you said fiscal ‘14 recurring revenue would be $140 million, is that still intact?
Robert Andersen: Yes. I am very confident in us being able to meet the $140 million number that we have provided previously.
Krish Shankar - Bank of America: Got it. And is it fair to assume the fiscal ‘15 guidance you gave is also intact of $195 million?
Robert Andersen: That’s correct.
Krish Shankar - Bank of America: Okay, fair enough. And just couple of other quick questions. Besides Amkor, it looks like the other – the only other outstanding litigation you have is the UTAC, is that still schedule for January?
Tom Lacey: Your question on UTAC let me just – you are right, the primary matter remaining is Amkor and UTAC is a much, much smaller matter.
Krish Shankar - Bank of America: And is it still, I think the timeline for that is January, right, January 2015?
Tom Lacey: I think that hasn’t changed, I am trying to find my notes here. I will get back to you on that one.
Krish Shankar - Bank of America: Fair enough. And then a final question, did you say that ASE is going to be more a one-time payment in Q1 2015 of $27 million versus being I thought the initial thing was they are going to pay you just one tranche of $6 million or so in Q1, is it changed now?
Tom Lacey: Yes. So, it has changed. So, instead of paying us $30 million over four years, we decided to take $27 million payable in the first half of January 2015.
Krish Shankar - Bank of America: So, it will be Q1 episodic?
Tom Lacey: As far as I am concerned and additionally to move forward in an engagement, technology engagement.
Krish Shankar - Bank of America: Got it. So, that will be $27 million episodic revenue in Q1, right?
Tom Lacey: That’s correct.
Robert Andersen: Yes, that’s correct.
Krish Shankar - Bank of America: Alright, thank you very much.
Tom Lacey: And on your UTAC question there is a claim construction hearing that has been set for January 2015 too, right. The actual trial date has yet to be said.
Krish Shankar - Bank of America: Got it. Thanks, Tom.
Tom Lacey: Thank you.
Operator: Your next question comes from the line of Richard Shannon (Craig Hallum). Your line is open.
Richard Shannon - Craig Hallum: Good afternoon guys and I will echo my congratulations on a very nice quarter and guide here. And also Tom, I am little surprised, but disappointed on your relative lack of enthusiasm or holding yourself back in for the Giants here, I was expecting more. Sorry, I had to defer that one in there, so. Anyway, my first question actually for Robert, I may have missed it as I was distracted a couple of times, but did you mention what’s your recurring revenues were for the third quarter?
Robert Andersen: We didn’t give – I didn’t give that specific number in my discussion, but the recurring revenues for the third quarter were $47,334,000.
Richard Shannon - Craig Hallum: Okay, perfect. And based on the math I am hopefully I am doing it right on my head, it would make fee $140 million number for this year quite easy to achieve and you won’t need anything near that 47 for the last quarter then, right?
Robert Andersen: Yes, as I mentioned earlier, I am very confident on that $140 million number. It looks good.
Richard Shannon - Craig Hallum: Okay, great. Well, we will leave it at that. Let’s see here. Couple of questions on some of your newer businesses with Invensas, I guess maybe on xFD, great to announce Micron a couple of months ago. Can you give us an update on the engagement there, how fast we might start to see those units roll off the door and any impact from them on the rest of the food chain in terms of others moving faster towards engagement and eventual adoption?
Tom Lacey: Yeah, as I mentioned – that’s a great question. I think first of all we share your enthusiasm, that was a super important announcement made a few months ago. And it is proceeding exactly as we said it was. So there’s technical collaboration between the teams and it’s taking the normal steps through that joint engagement process. That news has helped others. Maybe move up their evaluation of the technology and I would expect us to be able to bring additional customers on to xFD and as that happens, we will talk about it. But yes, to answer your question there is more activity I think, as a result of our own actions, but also as a result of the announcement itself.
Richard Shannon - Craig Hallum: Okay. 
Tom Lacey: In terms of when we expect that to manifest itself into revenue. 
Richard Shannon - Craig Hallum: Yes. 
Tom Lacey: We would expect to see again the schedules are still being worked. We would certainly expect to see volume shipments in 2015. And let me get you a further update on that as we get further down the process with these customers.
Richard Shannon - Craig Hallum: Okay, fair enough. And on FotoNation, kind of a similar question, if you can add any color to your engagement levels there, particularly I think you've been talking about engaging with one or more apps processors, developers try to get some hardware blocks and get integrated in there. Any update on how that's going in terms of breadths and kind of moving that ball forward?
Tom Lacey: I can’t give exact specifics. What we said couple of quick before as we said, when we settled with Qualcomm that we would have engagement discussions with them around – specifically around FotoNation technologies, and that statement remains the case. There is – as I mentioned in prepared statement, I said there is interest, I’ll call it the semi – phone OEMs and semiconductor providers. So you would expect that we would be having discussions with those two classes of potential customers for us and we are, but nothing to announce definitively at this point other than the dialogs are good and I’m pretty upbeat on that business overall.
Richard Shannon - Craig Hallum: Okay, great. Probably just two more questions for me guys. Can you give us an update on OFilm, is that something expected to close here or there have been any hang-ups in the process, just an update there please? 
Tom Lacey: Yes, so – good question. So for those of you not as familiar with, this is an agreement we announced some time ago. We signed a definitive agreement and had some closing conditions to work through. So at this point, Richard, we have met all our all obligations under the agreement and are seeking all avenues to close the transaction just as soon as we can. But again, as I’ve done in the past, I would voice a bit of caution, so I would just say at present, however, the timing and the consummation of the remainder of the transaction remains uncertain. But the guys have been putting a lot of working on this overall program, and we have in fact met all of our obligations under the agreement. 
Richard Shannon - Craig Hallum: Okay. In other words, it sounds like it’s not in your control as to when this closes if at all then, is that fair to say? 
Tom Lacey: It always takes two of the relationship, doesn’t it?
Richard Shannon - Craig Hallum: Yes, yes, yes, it does. Alright. Last question, I want to follow-up on your comments Tom regarding some engagements in – with FotoNation with Chinese OEMs. How advanced are those discussions? And I think you mentioned statistically your fast focus technology, is it kind of – is it point of intended focus just on that functionality or is it broader? And remind us the timeframe by which if you're not – you made an announcement when would unit base royalties follow?
Tom Lacey: Well, so there is two different – as you are aware there’s two different architectural approaches to the technology, one will be software only and one would be software plus potentially IP block suite. And in some of our technologies, we can do a software-only feature, which we get to market much sooner. And the technology I talked about in the call works in both. It actually works better with hardware, but it actually improves focused performance in the soft portfolio given some of the technology in our algorithm. So, it would be possible to begin to see actual revenue from these efforts in the first-half of 2013. And as those happen I am certain we will – I would expect that we would disclose updates during this process, the earnings call process.
Richard Shannon - Craig Hallum: Okay. That’s fair enough. I think that’s all the question for you guys. Thanks again and once again congratulations.
Tom Lacey: Thanks and look forward to see you wearing a Giants hat.
Operator: (Operator Instructions) Your next question comes from the line of (Jef Holm). Your line is open.
Unidentified Analyst: Hi Tom and Robert. Thanks for all the focus on shareholder return, I appreciate it and the expanded buyback.
Tom Lacey: Thanks Jef.
Robert Andersen: Thank you, Jef.
Unidentified Analyst: Yes. And lots of sports discussion on the call to-night, as usual.
Robert Andersen: Sorry about that.
Unidentified Analyst: Most of my questions have been answered. I guess, so regarding OFilm you featured the potential there of that business at the analyst meeting, I guess so far you are stsill encouraged by what you are seeing in engaging with OEMs and semiconductor companies or could you just give us an update about how that’s going and how relevant you see the technology and is the future – do you still see future the same way?
Tom Lacey: So let me clarify your question. So you mentioned – if I heard you right you mentioned OFilm…
Unidentified Analyst: I am sorry I meant FotoNation.
Tom Lacey: And our customer – yes FotoNation and our joint customer engagements with them, okay got it.
Unidentified Analyst: And just the trajectory of that business and are you still that enthused?
Tom Lacey: Yes. So as I mentioned to Richard’s question on OFilm specifically we met all closing conditions, we still – there is yet I still predict that – view that there is some risk, there is a couple of elements to it. There is a FotoNation specific piece of it and let me backup further for those not as familiar with this. This was overall about $50 million engagement $10.5 million which has been paid to us already. So there is about $40 million – just a bit over $40 million left to collect on the arrangement. And part of it is a FotoNation engagement and prepaid licenses to that end. And what Jef is asking is how has that part of the engagement gone and what is our optimism or not? I would say, it’s gone quite well. In other words, the interest from either OFilms or our customers it could go either way, but if we work together it would be a cooperative effort, has been quite good. As I mentioned in my prepared statement imaging features overall are becoming increasingly important to end user phone differentiation. And that’s no different in the Chinese market. And a number of our features have a high degree of interest from the Chinese phone OEMs. So we are pretty optimistic about that.
Unidentified Analyst: Okay. Thanks. And this greater FotoNation technology and you mentioned – you once mentioned there is a long lead time between getting in with the OEMs and then seeing revenue, but so how is that upfront effort progressing?
Tom Lacey: I have mentioned on previous calls, and I did at the Analyst Day that I expect that this business I think we have said publicly, the last public number on it’s been about $15 million forecasted for this calendar year. We would grow to 100 million over the next several years. And in that statement obviously we are not making a statement without some understanding of how we are proceeding in some of these longer lead items, right. So I would continue to be confident in our ability to grow this business.
Unidentified Analyst: Okay, great. And then I am just curious maybe to extent you can talk about it on the ASC technical collaboration, I mean they are a big company pretty sophisticated, so I am just curious what I think you called out BVA in particular. How – what can you do for them, what can they do for you why could that be a successful way to bring BVA in market?
Tom Lacey: Well, as you rightfully mentioned, that’s why I am so excited about it. They are a very, very large what’s called the OSAT, tremendous packaging technology, incredible manufacturing footprint, strong customer engagements across a number of different segments, including those where we call package on package or what our BVA technology does would be important to their customers or our mutual customers. And so we have agreed to do is to work together specifically on BVA, I'll call it high-volume engagement together. And so just one thing you are doing in getting a technology from kind of your labs into high-volume production as you want to engage with different pieces of the ecosystem, ASE is a tremendous partner, an excellent well-respected by a number of world-class customers, and we’re thrilled to be working with them on BVA, as they can help us – we can help them in terms of the innovation and the ideas and the inventions and they can help us in terms of manifesting that into high-volume production.
Unidentified Analyst: Okay, great. And then finally we really appreciate – one for Robert, we really appreciate to see the expanded repurchase, especially at this price. Did you have blockouts in the quarter or were you a little – trying to be a little price-sensitive in repurchase, it was just a relatively low amount, even though again we’re thrilled to see the expanded authorization?
Robert Andersen: Yeah, there is – there are two ways that I tend to buy during a quarter, one is during the open period. That period tends to be about a month. 
Tom Lacey: If we are not blocked out, right? 
Robert Andersen: If we are not blocked.
Tom Lacey: Right. Exactly 
Robert Andersen: The non-block-out part. And then also I will on occasion execute under a 10b5-1 plan. And so during the quarter, I didn't have as much opportunity to buy that I would have like. As I noted in my remarks, I did buy on an average price of about mid-$28. And so that was partly – part of what we are doing is to make sure that we're keeping our dilution to a minimum. But there wasn't as much opportunity for me to do purchasing during the quarter. And I think with the expanded authorization, and this depends a great deal on how the price of the stock goes, I do try to buy when it’s lower. Call me old fashion. 
Unidentified Analyst: Great. No, no, we appreciate that. Okay, thanks. Thanks for the execution. Thank you.
Robert Andersen: Thanks Jeff. Thank you.
Operator: (Operator Instructions)
Tom Lacey: Angel, perhaps you can turn it back over to me, and I’ll wrap up the call, is that okay?
Operator: Certainly. There are no further questions. So I turn the call back over to the presenters.
Tom Lacey: Thanks Angel. So thanks again for your interest in Tessera, we very much appreciate you guys spending the time to learn more about our company. In summary, I hope we were able to convey to you today that we are as optimistic as ever about the growth prospects for our company and while we have made substantial progress today, significant opportunities remain for us as we continue to develop next generation semiconductor packaging and mobile technologies. And we seek to collaborate with world-class technology partners. Just a brief word on upcoming conferences for those of you perhaps who would like to see us in person, we will be participating at the Bernstein Technology Innovation Summit in Boston on December 17, and then Needham 17th Annual Growth Conference in New York in January. We hope to see some of you there. Thanks again for joining us. And we look forward to speaking with you again during our fourth quarter update in February. Thanks again.